Executives John Ambroseo - President and Chief Executive OfficerHelene Simonet - Executive Vice President, Chief Financial OfficerAnalysts Larry Solow - CJS SecuritiesMark Douglas - Longbow ResearchJiwon Lee - Sidoti & Co.Ajit Pai - Thomas Weisel PartnersOperator Good day, ladies and gentlemen and welcome to the Coherent Q3 ‘09 earnings conference call hosted by Coherent, Inc. At this time all participants are in listen-only mode. At the conclusion of our prepared remarks we will conduct a question-and-answer session. (Operator Instructions) I would now like to introduce Ms. Helene Simonet, Executive Vice President and Chief Financial Officer. You may begin your conference.Helene Simonet Thank you. Good afternoon and welcome to our fiscal 2009 third quarter conference call. On today’s call I will provide financial information and John Ambroseo, our President and CEO will provide a business overview. As a reminder any guidance and any statements on today’s conference call pertaining to future guidance, plans, events, or performance.Our forward-looking statements that involve risks and uncertainties and actual results may differ significantly. We encourage you to refer to the risk disclosure described in the company’s reports on Form 10-K, 10-Q and 8-K as applicable and is filed from time-to-time by the company. These forward-looking statements are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act.The full text of today’s prepared remarks, which will include references to historical bookings and sales by market will be posted on the Coherent Investor Relation’s website. A replay of the webcast will be made available for approximately 90 days following the call. We report the third quarter revenues of $98.5 million and a GAAP loss of $7 million or $0.29 per share.On a pro forma basis, the third quarter net loss was $2.2 million or $0.09 per share. The GAAP to pro forma pre-tax reconciliation items include $4.9 million restructuring costs primarily from our footprint consolidation efforts. $1.5 million stock-related compensation expenses and $0.1 million litigation charges resulting from the internal historical option investigation.Cash flow from operations was solid at $11 million and our ending cash balance was approximately $222 million. Our headcount at the end of the third quarter stood at 1,736, which reflects a reduction of 100 people compared to last quarter and a reduction of almost 500 people or 22% when compared to the headcount a year ago. We are executing according to our plans with respect to the footprint reduction program.During the quarter we completed the closure of our Munich facility. In addition last week, ahead of our initial schedule, we exited the St. Louis facility, we vacated the lease building in San Jose, California and we consolidated sales offices in Japan. We are now focusing on the last leg of the footprint reduction plan which is the exit of Finland.We anticipate completing the closure of Finland by the end of fiscal 2010 at which point the cumulative benefits will reach the high end of the previously announced savings range of $11.5 million to $14.5 million. The Finland exit requires establishing manufacturing capabilities of a core technology in the bay area while in parallel maintaining the existing capacity in Finland.This will temporarily result in higher costs during fiscal 2010, asking the incremental savings from some of the more recent closures. We will end the current fiscal year with annual run rate savings of approximately $8 million and once the Finland project is completed beginning fiscal 2011, annual savings will step up to be about $14 million.Net sales for the third quarter declined 6.6% sequentially and 37.3% from the same quarter a year ago. On a regional level, we see no major shifts. On a trailing 12 month basis, U.S. represents 34% of the total volume, Asia 32%, Europe 28%, and other countries 6%.From a market perspective, microelectronic sales increased sequentially, which is mainly the result of higher solar and flat-panel display revenues. The remaining three markets experienced sequential declines with implementation, material processing and medical showing the largest impact. Company sales by significant market applications for the third quarter are as follows: Scientific 30.1, microelectronics 30.3, material processing 12.6, OEM components and instrumentation, 25.3 for a total of $98.5 million. The third quarter gross profit was $33.6 million or 34.1% of sales. On a pro forma basis excluding $2.6 million restructuring costs and $0.3 million stock compensation charges, gross profit was 37%. The sequential pro forma decrease of 370 basis points from 40.7% last quarter was primarily due to a negative product mix coupled with the impact of lower production volume in part also due to our inventory reduction efforts.The decrease of 830 basis points compared to the third quarter last years pro forma margins is primarily due to a significant drop in production volumes and an unfavorable mix from lower revenues in the microelectronics and medical markets and a higher percentage of revenues in scientific markets.These declines were partially offset by the benefits of labor and overhead spending cuts and favorable impact of a weakened Euro. Compared to the third quarter last year, we reduced inventories by $14.4 million or 12% and revenues declined 37%. These expenses are $46.7 million include restructuring, litigation and stock and deferred compensation charges for a combined total of $6.4 million resulting in an adjusted pro forma expense of $40.3 million.This compares to $42.1 million adjusted pro forma spending in the previous quarter. The sequential decline of 4% is mainly the result of incremental benefits from the Munich closure coupled with general cost containment measures. Using a similar definition of pro forma expenses, total expenses declined $14 million or 26% when comparing to the third quarter last year.The above comparisons exclude the impact of the changes in our deferred compensation plan liabilities. As you may have seen in prior quarters, the volatility in the stock market cost significant expense fluctuations resulting in misleading trended information. We have added a footnote in the press release displaying the impact of these non-cash charges and/or benefits for all relevant periods presented.Please refer to footnote E. Our cash and cash equivalents balance for the quarter was approximately $222 million representing a sequential increase of $15 million. Cash flow from operations for the quarter was $11 million net of restructuring cash out flows of roughly $5 million. Accounts Receivable DSO remains at 69 days when comparing to the previous quarter.Despite the sequential revenue decline, we reduced inventory levels by $7 million offset by a current impact of $2 million due to a stronger Euro. Refer stocks to mitigate the risks associated with the footprint project stood at $6.2 million at the end of the third quarter. Capital spending for the quarter was $3.6 million or 3.6% of sales. As indicated before, a significant portion of this fiscal years capital spending relates to the footprint consolidation projects.Based on the third quarter bookings we anticipate revenues in the fourth quarter to be in the range of $90 million to $100 million with a pro forma gross profit percentage similar to the third quarter. As we indicated during the last conference call, we are burning off inventory that was built in the past six to nine months at a higher cost and this will negatively impact our gross margins.Stock compensation charges for the fourth quarter are projected to be $1.5 million unchanged from the third quarter. As we completed most of our footprint projects, the fourth quarter restructuring cost will be lower and are estimated to be in the range of $2 million of which 800,000 will be recorded in cost of sales and 900,000 in R&D and 300,000 in SG&A.I will now turnover the call to John Ambroseo, our President and CEO.John Ambroseo Thanks, Helene. Good afternoon everyone and welcome to our third fiscal quarter conference call. In a challenging macroeconomic environment Coherent delivered on several key goals for the third quarter. Sales were at the higher end of guidance although mix was skew towards lower margin products. We did a good job on cash generation and inventory management.We also completed another major component of consolidation by exiting our Munich facility. I commend our team for their efforts we must continue to march forward. Our attention remains firmly fixed on customer and market alignment, design wins, execution and asset management.Orders in the third fiscal quarter totaled $88.6 million which were down 5.5% sequentially and 40.5% versus the prior year period. The book-to-bill for the quarter was 0.9. Orders of $28.3 million in the scientific market were down 10% from the prior quarter and 4.8% versus the prior year period.Third quarter orders benefited from strong demand for raises used in biological imaging resulting in record orders for our Chameleon serious lasers. More than a third of the Chameleon versions were for the newest version the Chameleon Vision, which was introduced in January 2009. There is growing optimism regarding the deployment of stimulus money in the second half of the calendar year.Unfortunately, numerous customers in the U.S. and Japan the late placing orders in the June quarter since stimulus funds could offer greater spending flexibility. We echo everyone’s sentiment to get the funds flowing. We introduced several new products for the research market during Q3. Our venerable Verdi product line has been augmented with two OPS base lasers, the Verdi G2 and G5 which both higher liability and long operating lifetimes.The G2 and G5 produce 2 watts and 5 watts a green light respectively and can be used for direct illumination or pumping application. In conjunction with this launch we showed power scaling to 40 watts of green light in an OPS architecture, which will lead to future higher power Verdi G serious products. We also demonstrated new versions of our legend amplifier series that will be formerly released in the next three to six months.Orders of $25.6 million for instrumentation and OEM components were up 20.3% from the prior quarter and down 33.2% versus the prior year period. The sequential increase in orders was paced by a large contract buy from a key instrumentation customer, the capture of a competitive medical OEM account and an up tick in defense business.The large contract order notwithstanding the instrumentation market is in a holding pattern until stimulus money starts to flow. The emphasis between now and then is bundling of multiple life sources into a light engine that can support a variety of test protocols.Our position in the ophthalmic market has strengthened as more customers are qualifying our OPS based Genesis Lasers for photocoagulation treatment including six of the top venders in the space. We will be very well positioned as this market recovers. Bookings from microelectronics of $21.9 million, which included a $3.4 million de-booking decreased 19.7% sequentially and 62.2% versus the prior year period.During this earning season the common theme within semi cap space is improved factory utilization rates. We are receiving similar input, which bodes well for service revenue as users re-commission idle equipment. We are also seeing improved conditions in new tool development. As long as these conditions hold orders should start to recover in the current quarter.Advanced packaging orders doubled compared to the second quarter and were up for the first time in three quarters due to inventory replenishment for existing products and technology buys for the next generation tools. We’re not prepared to declare that this sub market is in recovery since some customers still need to burn through their finished goods inventory.When recovery does occur, our Auburn plant products will be well aligned with customer needs around capability, throughput and yield. At the multiple system orders in the March quarter third quarter bookings of flat-panel display manufacturing are all service related as many users are back to 80% to 90% utilization rates.History tells us that at these rates users need to plan for additional capacity and those conversations are under way. Bookings for solar cell manufacturing remain under pressure as oversupply and consumer spending raise on end-user pricing and demand. As one might expect there’s tremendous emphasis on cost per generated watt through material and process cost reduction an increasing cell efficiency.Glass and silicon foundries are addressing the raw material side of the equation while equipment suppliers are focusing on reducing cost and enhancing conversion efficiency. This has driven laser sales for Coherent particularly in the crystalline silicon market where customers are adopting laser technology in many cases for the first time and are asking for more functionality to investigate process windows required for production adoption.In response to these requests, Coherent has designed process development tools for crystalline silicon solar cells that can be equipped with any number of lasers in our portfolio for different applications including dielectric abrasion, edge isolation and dopant diffusion. We’ve already shipped R&D and pilot production units with impressive results with up to 15% improvement in conversion efficiency being realized.To date this has been a very concentrated effort. We will be exhibiting our tools to the broader solar industry next month at the 24 European 24th European Photovoltaic Solar Energy Conference and Exhibit in Hamburg at the end of September.Material processing orders of $12.8 million decreased 7.3% sequentially and 44.3% versus the prior year period. Last quarter, I reported that Chinese customers were reengaging in the sales process and this led to a modest recovery in orders in China. Judging by the power and type of lasers ordered, it appears that marking and non-metal cutting have rallied in Q3. What is not clear is whether the orders were to support domestic demand or the export market.It should further be noted that these orders were largely at the lower end of the power scale supporting the notion that low cost manufacturing may be stabilizing. We’re seeing a similar trend in Europe where low power applications posted reasonable results. As the market works its way towards recovery, we are working to expand our addressable market through the introduction of a suite of high-power materials processing. Earlier this year, we released the highlight 1000F, a fiber deliver semiconductor array for using heat treating, clouding, welding and other applications.At Lasers Munich we introduced the E1000 a sealed CO2 laser that delivers one kilowatt of power in a package that up to 80% smaller than competitive offerings, does not require a gas supply and because of its superior beam quality can cut metal at speeds equal to or faster than competitive 2 kilowatt lasers. That compact size and relatively low weight allows the E1000 to be mounted directly to a robotic workstation, which simplifies being delivery optics. We expect to deliver prototypes this calendar year and production units will ship early in calendar 2010.We also displayed a concept design for a 1 kilowatt fiber laser based on ball pumping. We chose ball pumping not to be different from everyone else, but rather to address simple economics. In high-power fiber lasers the pump diodes account for roughly half the material cost. The cost of diodes is divided between the chip and the can. Given the differences in power between single emitters and bars, you need far fewer bars to achieve the same output power. We expect to ship prototypes next year.Helene has already reported on the progress of a consolidation efforts and I’d like to add my own commentary. This has been a significant undertaking involving the relocation of just over 20,000 total part numbers including approximately 2,800 salable part numbers between Coherent locations and/or contract manufacturers.There is little to no impact on customer supply chains, quality and reliability did not suffer, and yield slightly improved. This would have been a solid accomplishment in a normalized economy, but was an impressive result given that much of the project was done during a period of declining revenues and diminished resources.With the exit of Rhonda in St. Louis, completed ahead of schedule we have one remaining project the spin-up of our new epitaxial growth facility in Sunnyvale, California and the subsequent closure of our current facility in Tampere, Finland. This is a very important program, as semiconductor devices are used in roughly 40% of the company’s revenue, either in direct sales or components of larger systems. This project is on track and will run through fiscal 2010.With certain end markets appearing to stabilize and good customer engagement, we believe bookings will begin to recover in the September quarter and continue through fiscal 2010. Over the next several weeks, Helene and I will participating in three investor events, including the CJS Securities Conference in White Plains, New York on August 18, the Longbow Research Conference in New York on September 10, and the Deutsche Bank conference in San Francisco on September 16. Our presentation materials will be available on August 17, under the Investor tab on Coherent’s website.I’ll now turn the call back over to Britney for the Q-and-A session.Questions-and-Answers Session Operator Thank you. Our first question comes from the line of Larry Solow with CJS Securities. You may proceed.Larry Solow - CJS Securities Hi, good afternoon, guys. John, it sounds like you’re seeing some mix trends and mix singles in the market, and I guess it’s anybody’s guess on when the economic recovery actually does take place, but maybe you could discuss a little bit more on how you’re improving your positioning and trend and design wins, and client interest in your new products that you’ve been unveiling?John Ambroseo So Larry, as I mentioned last quarter, the dialogue with customers has certainly improved in the last six months as people are starting to see some light at the end of the tunnel. We are tracking design wins. We don’t disclose that number publicly for a variety of different reasons; but the emphasis for us is not only to make sure that we’re executing against our footprint project, which obviously is important from a margin perspective, but to make sure we have the right alignment going forward.Customers in particular, are looking at their markets and determining that they need new tools to be able to either maintain or extend market share positions and they’re turning to us in many of those cases. So as you look at, for example, the E1000, CO2 laser that we just showed for the first time at lasers Munich, the response from the European laser users was quite good and we’ve established a priority lease within the European theatre for who is going to be evaluating the systems and working with us as we tighten up the final package design.The same kind of feedback came from the fiber laser that we showed, even though we’re relatively late entrance, customers are looking for things to going to change the game. The expectation is most of the credible vendors in the space will be able to meet the performance specifications and reliability demanded in the fiber laser market and they’re looking for game changers in terms of overall cost of ownership and at least what we spoke about resonated with them.With respect to how we’re doing in the microelectronics market which has historically been one of our stronger markets we are keeping very close pace with customers. The fact that we’ve brought out new versions of a variety of different tools, for example, we brought out a product called Mamba which is a big laser that puts out a lot of power for applications and dielectric abrasion and others, so we are hitting our marks on a pretty routine basis right now. We do need recovery in the end markets to enjoy the economic benefits that come with that.Larry Solow - CJS Securities Okay the question for Helene. It sounds like in terms of SG&A and future benefits it sounds like we could be in a holding pattern for the next few quarters? Does that kind of make sense as some of the savings offset some of your duplication?Helene Simonet That is correct. As I explained we will see some doubling up of costs because of that balance key project, the exit of Finland so there will be some slight improvement if not a complete wash, but the majority will come as soon as we finish Finland.Larry Solow - CJS Securities Then on the gross margin also, I guess you guided Q4 similar to Q3 and do you think you’re getting close to running through your higher cost inventory?Helene Simonet Well we haven’t given any guidance for fiscal 10 yet. I remember I said six to nine months and I made that comment last quarter.Larry Solow - CJS Securities Okay and then just last question I know there was one you mentioned one cancellation in the microelectronics market was that the only cancellation and I guess sort of a stable type thing or is that out of the ordinary?John Ambroseo We called it out Larry because it was an order from a single customer and therefore, we thought it was noteworthy I would say that the trends among the rest of the customer base are pretty much constant or consistent with what we’ve seen in the past and we do continue to secure the backlog to make sure that it is up-to-date as possible.Larry Solow - CJS Securities Okay, excellent. Thanks a lot and we look forward to seeing you guys in a couple weeks at our conference.Operator Our next question comes from the line of Mark Douglas with Longbow Research. Go ahead.Mark Douglas – Longbow Research Hi, John and Helene.John Ambroseo Hi, Mark, how are you?Mark Douglas – Longbow Research Fine. John, can you go into the negative mix again? Can you explain what the product mix that was creating the drop in gross margins and do you have an estimate as to how much of the gross margin drop was due to that and then what do you see kind of going forward in your guidance and is that still baked into your guidance for fourth quarter?Helene Simonet Mark its Helene. I would say that definitely 50% of our drop is not slightly more related to the negative mix. It’s in a variety of places, for example, I think we also highlighted the medical business was significantly less than what we saw the prior quarter and we typically enjoy higher margins there.Also, within our service business, there was a mix within the markets and so there is, we had more service business in the lower margin markets compared to last quarter. Those are the two predominant ones and then there is a variety of it just happens to be lower power and materials processing mix and those are the top ones. With respect to the guidance, I gave similar guidance to the last quarter on a pro forma basis and we tried to incorporate that as much as we can.Mark Douglas – Longbow Research On the service, the smaller margin is that more an artifact of those service revenues were stable, but higher margin service had declined so maybe once we get back to more normal production let’s say in the future, that you would see that those would return?Helene Simonet That is a correct statement, that the service revenue in itself wasn’t down; but for example, service revenue in microelectronics was less than we had before, whereas service revenue in the other markets was higher than what we had before, and that gives you a negative margin impact.Mark Douglass - Longbow Research Okay, and then on talking on the materials processing side of things, has there been any wiff of a recovery, in anything besides the really low power marking, non-metal cutting?John Ambroseo I would say that the recovery, again, is taking place in customer dialogue, but it is still a very quiet marketplace right now. There’s a lot of excess capacity in the higher power end of that market that needs to work its way through.Mark Douglass - Longbow Research Okay. Thank you.John Ambroseo Sure.Operator Our next question comes from the line of Jiwon Lee with Sidoti & Company. Go ahead.Jiwon Lee - Sidoti & Co. Yes, good afternoon. Just I’m going back to that debooking, could you give us a little more sense as to which submarket that might have come from?John Ambroseo I said it came from microelectronics. It was a single customer that led to the debooking.Jiwon Lee - Sidoti & Co. Okay. Within that submarket, that’s what I meant, but…?John Ambroseo We don’t disclose that level of detail, Jiwon.Jiwon Lee - Sidoti & Co. Fair enough and then John, there’s a lot of opportunities and activities happening in the larger display side of things. What are the opportunities that you guys are seeing in terms of the notebooks and TV side of the display?John Ambroseo Well, our emphasis has been in, I’d say in two areas, or three areas. Obviously, the annealing process is something that we’ve long had a significant position in and we continue to enjoy that, and we are seeing activity there.Patterning and cutting are two other areas where there is capability; but it seems that there is ample capability in some of those areas and not others. So for example, as more and more mobile touch screens come out and OLEDs become more prevalent, the whole annealing market stands to benefit from that.Other parts of the market may be able to better match capacity and capability. So we’re focusing on, strongly on the annealing piece, but not losing sight on the others, but we think that the short term action is on the annealing side.Jiwon Lee - Sidoti & Co. Okay, and for Helene, understanding your restructuring dynamics and also your need to work down the inventory that takes a few more quarters, how should we be viewing your new breakeven point in terms of the top line? Hello, can you hear me?Helene Simonet Yes, yes, I’m here, Jiwon. I’m here. Let’s see, we had said earlier that we would target our breakeven point under $100 million until we are through this inventory issue. It’s going to take until then to get there.Jiwon Lee - Sidoti & Co. Okay, that’s fair enough. Thank you.Operator Our next question comes from the line of Ajit Pai with Thomas Weisel Partners. Go ahead.Ajit Pai - Thomas Weisel Partners Yes, good afternoon.John Ambroseo Hi, Ajit.Helene Simonet Hi, Ajit.Ajit Pai - Thomas Weisel Partners Good. A couple of quick questions, I think the first one is just looking at the margin structure of the industry right now, some of the settled commercial laser or manufacturers have talked about increasing pricing pressure. Could you discuss what you’re seeing in that regard, and also whether the margins in this quarter were impacted by that or whether those are the two factors that you mentioned?John Ambroseo So one of the things that we tracked very closely, Ajit, is pricing, because as we started to do our gross margin analysis, obviously that’s one of the things that comes to the forefront, and you quickly ask that question. We were not able to identify any significant changes in pricing in virtually any market, and we looked pretty closely at that. We see more impact from the change in mix that Helene alluded to earlier as being the gross margin culprit for us in the third quarter.Ajit Pai - Thomas Weisel Partners So when business comes bouncing back, I know someone else asked that question as well, you’d expect to get the sort of full operating leverage? You haven’t given up any material pricing in this downturn; is that fair?John Ambroseo We’ve been watching this as I said very closely and there are opportunities or places where we’ve been able to increase pricing and places where we’ve had to concede some pricing but overall, I’d say that the pricing has been remarkably stable through this downturn.Ajit Pai - Thomas Weisel Partners Okay, and then just moving to the uses of cash, your company as a percentage of the market cap, that as their material cash had shown, a propensity to acquire in the past and it has shown a propensity to buyback your shares. Just given what the current context is, where your stock price is depressed but also lots of acquisition opportunities and you have recently had a mixed experience of acquiring a company and it’s not going through, can you give us some color as to how you see things playing out in terms of acquisition opportunities, how close you are to potentially closing on things and then also your product as a use of cash going forward?John Ambroseo So, we do have a high class problem in that we do have a lot of cash and we continue to be a very good cash generator. We are looking at all uses of cash, including acquisitions. I was talking to somebody recently and I said it reminds me of the children’s nursery rhyme where you have to kiss a lot of Toads to find a prince, and we’ve certainly done a fair amount of looking. Inheriting somebody else’s problems is not the first thing that comes to mind for us so we are looking for quality acquisitions.I think we also mentioned earlier that while we would tolerate short term dilution, our preference would be that deals have to be accretive certainly within the first year, so that’s putting some fairly tight conditions around acquisitions, particularly when you dealing with an uncertain revenue environment, and I would say more than anything else, that’s what’s made us cautious through the first half of this year in pursuing M&A activity, is it was really hard to validate or to project how an acquisitions revenue stream would perform.With respect to buybacks, we did do a fairly substantial one a little over a year ago. It certainly feels a lot longer than that but a little over a year ago. We’re not opposed to using that as a second mechanism to deploy cash. We’ve also had some conversations internally and we’ve heard from a number of shareholders that they would not be opposed to dividends and this too as being in factored into the equation.I would say for the buybacks and for the dividends, we would like to see a little bit more stabilization in the market take place before we move down that path and as far as the acquisitions go, when we have one that we like and we’re ready to pull the trigger, then we will do it. We’re not trying to rush something because we feel we have to do it tomorrow. There still remains enough uncertainty in the market that validating these business plans, especially for other companies, is a challenge.Ajit Pai - Thomas Weisel Partners Got it and then one last question, which would be just looking at the restructuring that you’re doing right now and what you’ve announced, I’m sure depending on business conditions there might be additional actions but the current restructuring that you’ve announced, when do you expect to have the first clean quarter results where the full impact of the restructuring and benefits of the restructuring will be visible in the income statement?John Ambroseo We had highlighted when we started the project that we were going to be doing various phases and that that would take us roughly through Fiscal 2010. As you’ve heard, we finished all the projects that were on the docket with the exception of the semiconductor transition, where we’re bringing up capacity in Sunnyvale and we’ll be closing down the facility in Finland.Given how important those devises are to our customers and to our total revenue, we need to make sure that we do that in a controlled fashion and we think that that’s going to take us mostly through fiscal 2010. Now the costs in any quarter starting in December will be considerably lower than what you’ve seen in the past.I think Helene may have mentioned that in the September quarter I think we expect about $2 million of restructuring cost and that will drop and I’ll let her add a little bit more color to that if she wants to. Apparently not...Ajit Pai - Thomas Weisel Partners Okay, thank you.Operator (Operator instructions) At this time, we have no further questions in the queue. I’ll turn the call back over to John Ambroseo for additional closing remarks.John Ambroseo Thank you, Britney. We certainly appreciate everyone’s time and we look forward to talking to you either at one of the upcoming conferences that we’re attending or during the next conference call. Thank you.